Operator: Good morning and welcome to United Rentals third quarter 2009 investor conference call. Please be advised of this call is being recorded. Before we begin, please note that the United Rentals earnings release comments made on today’s call and responses to your questions contain forward-looking statements. United Rentals business and operations are subject to a variety of risks and uncertainties, many of which beyond its control and consequently actual results may differ materially from those projected. A summary of these uncertainties is included in the Safe Harbor Statement contained in the release. For a more complete description of these and other possible risks, please refer to the company’s Annual Report on Form 10-K for the year ended December 31, 2008 as well as to subsequent filings with the SEC. You can access these filings on the company’s website at www.ur.com. Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to the forward-looking statements in order to reflect the new information on subsequent events, circumstances or changes in expectation. You should also note that today’s call will include references to free cash flow, adjusted EPS, EBITDA and adjusted EBITDA, each of which is a non-GAAP term. Speaking today for United Rentals is Michael Kneeland, Chief Executive Officer; and William Plummer, Chief Financial Officer. I will now turn the call over to Mr. Kneeland. Mr. Kneeland, you may begin.
Michael Kneeland: Thank you, operator and good morning everyone and thank you for joining us today. With me is Bill Plummer, our Chief Financial Officer and other members of our Senior Management team. Bill will review our financial results and discuss some of the dynamics that contributed to our strong cash flow for the quarter. Before I begin, I want to take a moment to officially welcome Ned Graham who joined us as Vice President of Business Development in September. Many of you know Ned from his extensive background in the equipment rental industry. We are very pleased to have someone of Ned’s Caliber guiding our process improvements and business development strategy. Turning to our financial results, last night we reported EPS for the quarter that was essentially breakeven. Our rental revenue declined 30% for the quarter under the combined impact of rates and utilization. Rates were 11.8%, lower on a year-over-year basis, and time utilization decreased 3.8 percentage points to 64.2%, dollar utilization decreased 12.2 percentage points to 48.7%. On the positive side, our rates and operating income both showed sequential quarterly improvements and our rental revenue accounted for a higher percentage of our total revenues year-over-year, which is inline with our strategic objectives. We also have a good story to tell on cost control. We reduced our SG&A expense for the quarter by $33 million year-over-year and we brought down our cost of rentals by $64 million excluding depreciation. In addition, as we announced last night, we raised our outlook for full year free cash flow by another $25 million. So, there’s several forces at work here, the numbers reflect the adverse impact of a construction cycle that dragged down our busiest season, but they also reflect the fact that we are making good on our promise to focus on the parts of the business that are within our control. As I’m sure, this recession has really tested virtually every industry, especially those associated with construction. Companies had to choose between treading water and taking action. At United Rentals, we’ve chosen to step up rather than sit back. I’ll elaborate on that after I share some thoughts on the operating environment. On our July call, we said that we expected to see a gradual end market recovery in the third of fourth quarter 2010. Today, with another three months of the cycle behind us, our view hasn’t changed. We’re basing that on a combination of forecasting services, our observations in the field, feedback from our customers and experience with past cycles. For the first time in more than a year, there are some early hopeful signs in the general economy although as we heard yesterday, new home sales were still very volatile and even if residential activity picked up steam tomorrow, we would expect to see a lag before non-residential followed suite. The recession this severe, the general economy needs be well into a recovery before our industry benefits. Companies have to start investing again and many analysts believe that won’t take place for at least a year. When business is finally do expand, they will have an oversupply of vacant commercial space to choose from and credit is expected to remain tight for new construction and for all those reasons, we expect that commercial construction will be one of the last segments to recover. In the near term, we’re looking to capitalize on our presence in non-commercial sectors including industrial, utility, municipal, infrastructure, and to some degree residential. The diversity of our operations should allow us to tap into opportunities sooner rather than later. For example, construction of large facilities continues to move forward in some sectors particularly energy, education and medical. Currently, we have over 400 units on rent in an energy plant in New Mexico and infrastructure is getting a boost from stimulus money, which benefits our trench safety business as well as certain categories of general construction. Now looking ahead for 2010, renovation of existing commercial and industrial space is expected to increase as an alternative to new construction and in Canada where the cycle has been less severe, the outlook is encouraging. This environment is challenging for this definitely manageable, we laid out of strategy for the downturn more than 18 months ago and we’ve been executing that plan with discipline throughout the cycle. We’ve learned that our model is strong and resilient when put to the test and whether the recovery turns out to be V shaped as in the past or U shape as most analysts seem to think, we’re in a position to do better than merely persevere. In fact, we believe that the actions we’re taking this year position us to outperform the market in 2010 regardless of the level of non-residential construction. Let me put some context to that statement. First, there’s rate optimization, which has the potential to have a major impact on our revenue and margins. We are continuing to come up against intense competitive pressure on pricing, but we are determined to capture the best possible margin on every transaction. Last month, we successfully completed our initial rollout of price optimization and flipped a switch on new optimized rates in all of our branches. We also implemented a hard stop on rates in the field with real time approvals. In the fourth quarter, we will pilot customer centric pricing which should be operational all branches in 2010. Next, there’s Operation United. We are continuing to retool our customer mix to include a more national accounts, longer term rentals and more profitable business in general. In the third quarter, our national accounts business represented 22% of rental revenue compared to 19% last year. Strategically, national accounts are a perfect fit for us. No other company in our industry can match our branch footprint or depth of fleet, by pursuing national accounts we have created a much more favorable playing field for growing the business. Now I want to take a minute to connect the dot between national accounts and our broader strategy of managing through downturn. Obviously there are various actions that companies can take when times get tough. We have chosen to de-fleet without significantly reducing our range, to close branches without exiting any markets and to cut costs the broad range of operations. By taking this approach, we are retaining our competitive advantage of size. This is important as we target our customers and it goes to the heard of our strategy. I also want to mention our industrial base, which includes many national accounts. Year-to-date through September, industrial customers accounted for 17% of total revenues, which is up two percentage points from the same period last year. These numbers reflect only a fraction of the revenue potential of the 39 industrial accounts we have signed in the first nine months of this year. Given the ground we’re gaining on the industrial sector, we believe that our goal of 30% of total revenues is very achievable. Now Operation United is not only about revenue mix. There’s a big customer service component to our strategy. Our branch employees are increasingly focused on efficiency and service not in the abstract, but in ways that can drive tangible sustainable improvements in our rental process. None of our customers are immune to the challenges of this economy. They may need fewer services at the moment, but that will change dramatically in an upturn. Right now we have an opportunity to show our customers how well we can perform. The relationships we’re building today are based as much on loyalty as on contracts. To continuous improve on customer service process all of our branches have been using a customer focused scorecard since midyear. You can see the scorecard in our latest investor presentation on our website. Our branches are using this tool to look very intently at five critical dimensions of service quality. They are service response time, on time delivery, off ramp pickup time, equipment availability and resolution of billing disputes. We know exactly what customers value most when it comes to service based on the surveys done by our company and the industry. For example, we measure service response time as starting with a service call and ending when the machine is up and running again. That’s what customers care about. If our metric only measured the time it takes to dispatch a service tech, we’ve been missing the point from a customer’s perspective. In total, there are 19 metrics associated with these five service dimensions. We track them daily based on 7 day, 30 day, 90 day and 12 month intervals. The connection between customer focus scorecard and profitability may not be as obvious as with rates or customer mix, but it’s just as vital. A satisfied customer is more likely to rent from us again and more likely to refer us to a colleague in both cases driving return on fleet. While I’m on the subject of fleet, I want to mention used sales, equipment sales, which Bill will discuss in more detail. In the third quarter, we sold $100 million of used fleet based on original equipment cost, for a total of $555 million through September. That’s a big number, but the fleeting for us is still a very selective process. We look at current demand. We also think ahead to what our customers will need down the road. We want to right size or fleet as one shared pool of assets to extend its earnings power through equipment transfers and branch cooperation. Fleet management, rate management, process improvements and cost control are not stop gap measures for us. They are the essential part of our strategy to transform this business. Our goal is to continuously improve our performance in all of these areas in route to profitable growth. Furthermore, while we are very comfortable with our ability to invest the necessary capital in recovery, we also believe that we can operate this business much more efficiently than in the past. The silver lining to the recession is it gives us the space to recalibrate our operations with minimal disruptions to customers. I know I speak for our entire management team when I commend our employees for their role in this ongoing process. We have asked them to manage a great deal of change and they’re coming through like champions. For the time being, our operating representing enormous constraint on our top line. Our results show that we are dealing with the external challenges while gaining ground internally through discipline and focus. The actions we are taking are game changes for our company. Moving the needle on customer service improving our fixed cost structure, leveraging our size with national accounts and engineering a capital structure that supports our strategy for profitable growth. Clearly we are not willing to wait for this cycle to run its course. Instead we are building a bridge to the upturn with every means at our disposal. We’re becoming a more efficient company with a better customer mix and a strong profit oriented vision for growth and we are positioning ourselves to earn a bigger share the apply in any economy at any market level and as we lead our industry back to recovery, we will have a wealth of new opportunities ahead for us. With that, I’ll ask Bill to review our third quarter results and then we will go to Q-and-A and we will take your questions. Bill.
William Plummer: Thanks, Mike and good morning to everyone. As Mike said, I’ll provide some more detail on our third quarter financial results. Before I do that, I’d like to update you all on the outlook that we have been maintaining throughout the course of the year. Recall that we have got four objectives that we have set out for SG&A reduction, net rental CapEx, free cash flow generation and cost of rent reduction. The good news is we’re delivering against all four objectives and in fact; we have got sufficient confidence to raise three out of the four objectives for the full year. On SG&A, the $33 million reduction that Mike mentioned was the result of continued actions on all fronts. We had improvements in SG&A as it relates to salaries, benefits; travel and entertainment, professional fees, marketing spend nearly every line of SG&A was improved in the third quarter. The trend gives you a sense of how focused we are on this measure. We’ve got other initiatives that we’re putting in place and the result has given us enough confidence to raise our target for SG&A reduction now to $95 to $100 million up from the $80 to $90 million that we had laid out at the end of the second quarter. On net rental CapEx, we continue to be comfortable, projecting about zero as a total for the year. We are on pace to hit that target if you look year-to-date, we’ve maintained about net zero so far, having spent $200 million roughly in gross CapEx and received $192 million in proceeds from used equipment sales. So, we’re on target we’ve been very discipline about the gross spend and we feel very comfortable again maintaining the net zero for the year. On free cash flow through the first nine months, we’ve generated over $320 million of free cash flow and again, that’s against the target that we’ve previously announced of $325 million. So, obviously all the way there and that prompted us to raise the free cash flow target for the full year to about $350 million. I will touch on cost of rent a little bit later, but first a few thoughts on our capital structure and liquidity. As you recall in June, we issued $500 million of new senior notes. During the course of the third quarter, we used part of the proceeds of that issue to buy back $162 million of our 6.5% senior unsecured notes. We did that as part of managing our capital structure to manage the refinancing risks associated with the 6.5%. I’ll also note that we continued purchases early into October we bought an extra $84 million of phase in 6.5s during the early part of October as well. If you look at the overall debt portfolio, we reduced total debt by $73 million in the quarter and $243 million in the first nine months of the year and if you add in the increase in cash, we reduced net debt by $315 million for the first nine months. On liquidity, we continue to have a very nice liquidity position. We ended the quarter with $847 million of total liquidity. That includes $686 million of availability under our ABL and another $149 million in cash. Now just a few words on our fleet, here’s some of the ways that we executed our fleet management program in the quarter. We transferred $1.4 billion of fleet during the quarter and put that in context, that’s 38% of our overall fleet changing its location from one branch to the other during the course of the quarter. Looking at our fleet age, we ended the quarter at a fleet age of 41.1 months. That was up one month from June and it’s fully inline with our target of about 43 months for the end of the year. During the quarter, the age of the used equipment that we sold was again typically high as we had been over the last several years. We averaged 76 months of age of the equipment that we sold during the quarter. The overall size of our fleet was down about 13%. OEC was down 13% at the end of the third quarter versus prior year and as you look at it on a unit basis, we also decreased the number of units about 33,000 units, which again was about 13% down on the prior year. So, with all that as context, let me give a few highlights of the financial results. First on revenues, as Mike mentioned, rental revenue was down 30% in the quarter and within that, rate was down 11.8% year-over-year. Time utilization was down 3.8 percentage point’s year-over-year. Although I’ll note, time utilization did improve by 290 basis points on a sequential basis. Our dollar utilization for the quarter was 48.7% and while that was down significantly from the prior year, it was up sequentially as well 3.8 percentage points versus the second quarter. Our rental gross margins for the period improved sequentially as well. On a sequential basis, it was up 490 basis points for a 32.0% rental gross margin during the quarter. In contractor supplies, the revenue there was down 44% versus the prior year. That reflects the soft operating environment, but also reflects our continued focus on driving to higher margin sales. The gross margin improved over the prior year by 260 basis points in the quarter and if you look at it on a year-to-date basis, it improved by 320 basis points versus last year; and again consistent with the strategy of drive to the higher margin products. Our used equipment sales generated $41 million of proceeds in the quarter that was down from the second quarter, but the second quarter reflected a record amount of used equipment sales recall that was $271 million of OEC that we sold in the second quarter versus the $100 million that we sold in the current quarter. We will look at our costs. We’ve already touched on SG&A, so let me spend a little time on cost to rent excluding depreciation. Mike mentioned that we saved $64 million this quarter versus the same quarter last year and those reductions came nearly across the board. We saw them in labor benefits, facilities costs and insurance in just about every line of our cost of rent X depreciation, we had improvements. Again, it continued the momentum that we have been building over the course of the year and we are going to continue to look for opportunities to drive more cost improvement. Mike’s remarks about recent organizational changes I think reflect this. This is an area that we are transforming this business. We’re simplifying, we’re streamlining, we’re automating wherever we can and we think we can do more. In fact, we now have enough confidence to raise the target that we have set for 2009 reduction in cost of rent. We are now saying $240 to $250 million of reduction this year versus the prior year and that is up from the $190 to $210 that we had mentioned in the second quarter. So, that’s all I want to say about cost, but you put that together with our revenue performance and we delivered EBITDA on an adjusted basis of $184 million for the quarter. That was at a margin of 31.1% and although that margin was down significantly from last year, which was 36.9%, again I’ll point out that it was sequentially higher than the second quarter and in this case up by almost 700 basis points. Before we go to Q-and-A, let me make just a few brief comments about how we see 2010 unfolding and what impact it will have on our business. Mike mentioned what we see in terms of the macro environment and as we speak, we’re trying to translate that macro environment into our budget for next year we’re going through our budget process right now. We’ll provide more color on 2010 in February but for right now, let me just say that operationally, we expect to outperform the market. As Mike mentioned, we will realize better price through our price optimization work. Operation United is going to help us drive more OEC on rent and improve our mix. Again, we will continue to carry this year’s cost momentum into next year to benefit our margins. We expect our fleet to age during the year next year into the high 40s, but we don’t think that will have any significant impact on our business. We also expect to be significantly free cash flow positive next year and we will use that to delver further as appropriate during the course of the year. Those are my comments for now. I would like to ask the operator now to open up the call for Q-and-A, operator.
Operator: (Operator Instructions) Your next question comes from Henry Kirn – UBS
Henry Kirn – UBS: Question about the trench safety business since that’s one of the early indicators on when things get better. What do you see in there?
Michael Kneeland: It has seen an impact this year, Henry like it’s been affected by the overall economy just like every other segment of the company. What we are seeing is it is starting to see some benefits around the stimulus spending as more projects come forward and just to kind of give you a quick update on that, roughly there’s about just under 7000 projects that have been funded that are in the pipeline and that roughly is about $35 billion of spend. A lot of that is around infrastructure. We have been tracking those through the course of the year and some of the projects that we’re seeing in spending as benefiting them like the Minneapolis utility tunnel and sewage treatment plant, the project I mentioned last quarter in Salt Lake City as well as other projects in New York and across North America. So, next year it should benefit very well as the stimulus package starts to unfold.
Henry Kirn – UBS: In terms of your fleet, could you talk a little bit about maybe by type of fleet where you would be looking to still add fleet and de-fleet as we go to the next nine months to a year?
Michael Kneeland: It’s the same program we’ve been mentioning all along will be de-fleeting in aerial and adding more I would say de-fleet. We’ll change our mix so that we’ll not be adding as much aerial. We will be adding more earthmoving and then some other products as well as we go into the industrial sector, but I would say that when you look at forklifts; forklifts, we’re not going to be expanding reach forklifts. You’ll see us expand in the arena of industrial forklifts.
Operator: Your next question comes from Manish Somaiya – Citi
Manish Somaiya – Citi: First one on used equipment prices, we did see used equipment prices improve in July and August and I wanted to get your thoughts if that is sustainable.
Michael Kneeland: If you go through time and you take a look at the past, as you go into the fourth quarter, historically our used prices come under pressure. My sense was that will continue as we go through the fourth quarter, but then as we start to come through in February, they should bounce back as you’re starting to see the stimulus package and earthmoving type related jobs start to move forward. That’s consistent with what we’re seeing in the used market where you’re seeing specifically certain categories of equipment that have actually firmed up as we have gone through the year. I think aerial when you break that apart, booms will still be very resilient and I should say pressure will be towards the scissor lifts. So, I think that used market will start to begin to improve as we go through ‘10.
Manish Somaiya – Citi: Just a follow up on the acquisition that you made of Leasco in July, do you see more opportunities along those lines to build out your industrial business as we look ahead?
Michael Kneeland: We are always looking. I’ll tell you, the Leasco acquisition was timely and a great acquisition for us because it gave us a lot of insight and best practices for a company that’s been around for 20 years. So, yes we’re always looking for those types it has to fit within our total package of what we’re looking at with a high concentration of industrial. We’re looking for areas where we can learn, but we’re always open to those ideas Manish.
Manish Somaiya – Citi: Just lastly for Bill, the free cash flow guidance looks fairly conservative based on what you have done in the first nine months. Can you just give us more color as to why are you think the fourth quarter may not be as powerful from a free cash flow generation perspective as it has been historically?
William Plummer: First and foremost, it’s seasonally a slower operating cash flow generating quarter, but I think probably more to the point, we have still some notions of some amount of CapEx spending that we want to do late in the year. We have dial back or accelerated into the earlier part of the year, I’ll say, our used equipment sales and so the proceeds will probably be a little lighter in the fourth quarter than otherwise it might have been and you put all that together and it adds up to a free cash flow outlook that we felt 350 was the most prudent number to put out. We will look for opportunities to drive it a little higher and we will just have to see how things well.
Operator: Your next question comes from Emily Shanks – Barclays Capital.
Emily Shanks – Barclays Capital: I wanted to ask around this concept of moderate recovery in late 2010, what do you view and some of the key factors that you think will be driving that and how are you approaching that analysis, please?
Michael Kneeland: We look at some of the forecasts, particular global insight where they are predicted around the same timeframe, that somewhere in the second or third quarter we should hit bottom and start to come back out of it which is inline with their expectations. Beyond that, we also look at other things that kind of give us a read of what’s happening out there; inventory levels, transportation, are we moving products across North America to see if that has been having an up tick. We also take a look at the ABI index to see what kind of level of activity is being generated from a planning process. We also talk to our customers and the also are tracking all of the stimulus money by state, by project and we know when that money has been released and who is getting that type of work. We also when you take a look at some of the leading indicators and you look in the past, some things have changed. Historically, you saw residential come up and then as residential came up, non-res would follow anywhere between a range from six months to 18 months in that timeframe but we had a dramatic change in our credit structure here. So, I think all bets were off we’re tracking everything. We’re looking at a multitude of different leading indicators and I think the biggest takeaway, Emily, is that when we look at our customer mix, we’re trying to blend it so that we’re looking at residential, industrial, infrastructure and commercial construction. So, we’re trying to have a broad range of customers that we think that will benefit in any aspect of the construction cycle.
Emily Shanks – Barclays Capital: Specific to your conversations with customers, do you get the sense that the majority of them are of that opinion as well, that kind of a late 2010 we should see a bottoming and then a beginning of a pickup?
Michael Kneeland: They’re anticipating a better ‘10 or I should say, not the declines they saw in ‘09. They’re seeing it will be bottomed out. I will tell you that they have seen a tremendous activity of bidding whereas historically you may have all seen five or six bidders. You are now seeing a couple of dozen bidders. The larger contractors have a tendency to reach farther down in the construction dollar value than they would have historically would like, but they are doing that because they have that wherewith all and they have the expertise to do a broad range of different types of construction. So, our customers are basically saying that they anticipate that the back half of ‘10 will be better than the front half.
Emily Shanks – Barclays Capital: Bill, I have a question for you just on the balance sheet. I want to make sure that I have this right. In terms of looking at the dollars that are available for future bond repurchases at the HoldCo, is the $270 million inter-company receivable at the parent the number to use on the condensed balance sheet?
William Plummer: That was number at the end of last year. If you’re looking at the Q, the page before is the September 30 balance it’s 199.
Emily Shanks – Barclays Capital: Then just my last final question is as is the case across the industry, there is some pretty significant EBITDA deterioration. How high a leverage number are you comfortable operating in this business at as we look through the trough period?
William Plummer: Emily, without putting a specific number on it, I think the pertinent question is do we feel uncomfortable with the level of leverage that we have today or we might reasonably have over the next near term period, because I view this next near term period as being the better of and I guess without putting a number on it, I would say we are very comfortable with the overall level of leverage that we have in the company today, obviously we want to continue to pay it down as we generate free cash flow, but we are comfortable that where we sit today will carry us through the trough of the cycle and will be well positioned for the upside coming.
Operator: Your next question comes from Chris Doherty - Oppenheimer.
Chris Doherty – Oppenheimer: Just want to talk a little bit about pricing in terms of maybe just within the poor visibility and whether you are seeing any seasonal weakness heading into Q4 and then also, the thought of the elasticity of pricing, clearly there was a lot when the market started come down. Do you think pricing will ramp back up as much as it came down when the supply demand balance sort of switches around?
Michael Kneeland: I think as I mentioned before in the second quarter that as you go into the fourth quarter, there’s a lot of variables that play out. Let me just kind of give you our take on those, one of which is if you take a look at what happened last year, we saw a decline. We expect a decline to continue through the back half to the fourth quarter into the first quarter of next year. So we don’t know what the strategy and the decisions of some of our competitors are not just the local. It’s the local, it’s the regional and the nationals, all of them put together. So, that’s kind of one data point that you have to say we don’t know what their strategy is going to be. The other part of it is that there is a seasonal part of our business where the larger projects continue on. They continue on to the fourth quarter and into the first quarter and beyond. Those rates on fluctuate. Our larger customers, they’re not going to fluctuate. Where we will see fluctuation is the fact that some of our more transactional or smaller customers with smaller work, they will ramp up in the third quarter, they’ll decline in the fourth quarter and start to slowly build up in the first quarter. So just on that, mix will have some impact as well. As we go through 2010, again it depends on what the economy moves forward. There are some companies that are stressed. The one way that they try to survive is lower rates. So we don’t know what’s going to play out in the future. All I can tell you is that we are prepared and we have a different approach which is more scientific by nature through our pricing optimization program.
Chris Doherty - Oppenheimer: Then just in terms of I just want to clarify sort of the 2010 macro comments. The thought is that the second half of 2010 is better than the first half of 2010, but do you think you’re going to start to see year-over-year improvement in the second half of 2010?
Michael Kneeland: I think you won’t really see significant year-over-year improvements until ‘11. I think it will take a while to build up. You’re coming from a lower base. So, my sense it would be ‘11 before you see really year-over-year improvements.
Chris Doherty - Oppenheimer: Bill, just one last question in terms of the free cash flow guidance, or just drilled down. Is there anything in working capital that stands out for the fourth quarter, any interest payments or any pay downs of prepaid or anything like that that would have a significant flex between Q3 and Q4?
William Plummer: Nothing prominent, Chris.
Operator: Your next question comes from David Wells - Thompson Group.
David Wells - Thompson Group: I guess just to take a little bit further on the pricing, if you could walk us through maybe month-by-month of the quarter, did you see the environment improve as you went through each month and then as you exited the quarter that continue? I guess I’m just trying to get a sense of like what you discussed earlier, how much was a function of just raw seasonality and how much was actual kind of economic improvement from a pricing perspective?
William Plummer: That’s a question we wrestle with quite a bit internally. Without going to a month-by-month breakdown of the improvement that we saw in the third quarter, I think it’s fair to say that the third quarter generally reflected the level of seasonality that is in the market today. It’s muted versus prior year seasonality but it was there. I think it’s also fair to say that we would expect the fourth quarter to reflect the normal seasonality that we would see for Mike’s comments. Again, muted versus prior years, but still reflecting some seasonality, which would imply a little bit of pressure on pricing. So, I think that’s as far as we would like to go rather than trying to part out a month-by-month change.
David Wells - Thompson Group: Then I guess if you could give some additional color on that if you talked about the rollout of the new pricing system and getting more of a baseline out into your branches and kind of I’m curious what did that entail and was that a significant change from prices that had already been set in the marketplace and then what the response has been both from the branch and from your customers?
Michael Kneeland: We started this project going back in January of this year, or actually it was December a year ago. We started focusing on the dynamic pricing model. It’s in phases we announced it in first quarter. We basically said that going into the third quarter that we would have our baseline reset that takes a lot of different things to task. We don’t want to go into specifics, because we spent a lot of time and money to maintain that, but it looks at time utilization type. It looks at geographic footprint and mix. It looks at the area where the customers go. What we put in place in the third quarter was we reset our baseline. On top of that, we put a hard stop, a hard stop, which would require an approval process. So that once you want to go below a certain level, we require someone to actually go into the system and improve it. What we want to achieve there is to have the discussion of why you would want to do that deal, who is the customer, why is it important, where are you on your returns and how would it impact us in the future. So there’s a discussion that we have in advance as opposed to looking in the rearview mirror with exception reporting. Exception reporting would basically say, “I did this deal, why did you do this deal?” The problem is it’s already been executed upon. So that’s kind of where we are. Where we are going to go is trying to drive, it’s a combination of driving profitable growth. It’s as much to do with revenue as it does with adjusting the rate and what it will be is something that every one of our sales reps will have at their fingertips A rate that will be live, real time, be able then to determine the length of duration, that type of customer and give them a rate that is we believe based on all of the work that we’ve done, a lot of heavy lifting to be the most accurate and most profitable for us. I hope that answers your question.
David Wells - Thompson Group: I guess lastly, it looked like in terms of fleet transfer that the overall dollar number was fairly flat with the second quarter and I was curious if you felt like that was a fairly sustainable rate as you think about the next nine to 12 months and then even looking into 2011. As a percentage basis of your OEC, is that kind of something that you’re targeting or should we think about that differently?
Michael Kneeland: We don’t have enough trend data built up in the trend lines to make an accurate observation. As you know when we started this up, we ramped up quarter-over-quarter and then in the second quarter, some of that was impacted because we had a significant amount of closures and transported equipment. As you have gone forward, you’re seeing that kind of consistently play out. We’ll have more reports to dive into to take a look at, how we can drive our fleet movement more efficiently, but my sense would be that the levels you’re seeing today will play out in the future. If there are other opportunities, we will try to maximize it. I think the other key takeaway is that about 70% of that movement is within a trade area branch-to-branch and then we also monitor how much would be moved from district-to-district and then as you go even further up to the region-to-region, that number gets smaller, which sounds about right because you want to make sure you have the right equipment in the right spot. It doesn’t mean we don’t do it, we do, but it’s all part of our fleet management process.
Operator: Your next question comes from Seth Weber - RBC.
Seth Weber - RBC: I was wondering if you could give us a little bit of transparency into what you’re seeing on the industrial side versus construction for pricing and utilization, whether one of them is up or down mid single digits, maybe industrial is down mid single digits and construction is down 15%, something like that. Can you help us a little bit?
Michael Kneeland: We’re not tracking the industrial. The industrial has comedown. It has been impacted. In this economy, everything has been impacted. What I will say, when you took at rental rates and we look at rental rates not only from industrial will classified as our national accounts. The rates are not dynamically that far off at all from our current rates. It’s just longer in duration. So we haven’t seen anything been impacted in that arena as we go forward and the one reason we don’t always just measure what’s happening in growth in industrial is, because we see that as an opportunity for us. We’re starting with a much smaller number. So we’re just looking at it as opportunity to maximize and leverage our size.
Seth Weber - RBC: So just to clarify, you’re saying you’re not really seeing a material difference in change between the industrial business and the rest of the business?
Michael Kneeland: No.
Seth Weber - RBC: Was your national account in industrial revenue, the absolute revenue up sequentially?
Michael Kneeland: You’re talking about from quarter-to-quarter or year-over-year?
Seth Weber - RBC: Quarter-to-quarter.
Michael Kneeland: Quarter-to-quarter, it was up. On a year-over-year basis, it was down slightly, but we didn’t see the decline that we saw in our overall portfolio. We were down 30%. It was down in the mid to low single digits.
Seth Weber - RBC: Then just on the age of the fleet, so your aerial fleet is up to I think 45 months at this point. If you get into next year where you’re talking about overall fleet age in the mid 40s, that would I guess put your aerials into the upper 40s. Is that right? I mean at what point does that become prohibitive?
William Plummer: Actually, we’re saying the overall fleet age will be in the high 40s next year, but your point still remains that the overall fleet will age and the aerial fleet included. We don’t see that aging as inappropriate or anything that will impact our ability to rent equipment. So we don’t have a lot of concern, even though it does imply that the aerial component will age as will the rest.
Michael Kneeland: Seth, I just want to add to that, if you take a look at our fleet mix in our aerial, you pointed out, that’s where we do most of our refurb. We don’t change the age, so we just kind of age it out. Yes, it will age further. I have been in the industry for over 30 years and I will tell you that you can age the aerial equipment out even much further beyond the 15 month range, it’s not unusual. If you take a look at the industry today based on the Ross Report, the overall fleet age is around 46 months. We think that we will end the year around 43 months and as we go into next year, as Bill mentioned, kind of give you a range anywhere between, you can go to 47 to 49 months. We don’t see that to be material and we will do more refurbs.
Seth Weber - RBC: You think the aerial age gets to 47 to 49, total fleet?
Michael Kneeland: No, just collectively all together. We don’t break it out and project it that way.
Seth Weber - RBC: Then just last question, sorry if you said this, but the improvement on the used sale margins, is that just a function of doing less through the auction channel?
William Plummer: Primarily; the prices we received continued to be about what they were in prior quarters. If you look at the Ross data, the price trends seem to have flattened out and we did have a significant shift away from auction. We went from 52% auction in the second quarter down to the low 20s, 23% I think it was auction in the third quarter. So that shift helped us most definitely.
Operator: Your next question comes from Yvonne Varano - Jeffries.
Yvonne Varano - Jeffries: You’ve given some metrics in free cash flow and the age of the fleet for next year. Could you help us out with what you anticipate spending on new equipment next year?
William Plummer: Yvonne, we haven’t yet settled on a spend target or even a net rental CapEx target. We are discussing as we go through our budgeting process. So don’t want to put anything out there today. I guess the only high level comment I would make is that if the macro environment is still challenging in the first half, I don’t see a dramatic need to change versus what we’re doing in the current environment.
Yvonne Varano - Jeffries: Can you just talk about what your customers might be telling you on the credit side? It seems that credit is still really tight. Any indication it could be loosening anytime soon?
William Plummer: We haven’t heard a lot of specific indications that credit is loosening. Many of our customers still feel it tight. They still have a hard time maintaining and certainly maintaining the credit they have for projects ongoing, but in terms of new projects, it’s tough to find. So we haven’t heard much in the way of significant change in the credit environment for our customers. Mike, I don’t know if you wanted to add anything.
Michael Kneeland: No, I think that’s right, Bill. The credit had a major disruption. I think in the commercial side of things, it’s still going to be very tough going forward, in particular certain categories as you get into the smaller construction. To your point, Yvonne, starting to see a thaw, but it’s not trickling to any meaningful numbers.
Yvonne Varano - Jefferies: No, we’ve taken out some nice cost savings here. How much of that really stays out permanently or is there a way to look at it and you think you can do X amount of revenue with current cost structure before you have to add in again?
William Plummer: We’ve been poking at that question ourselves, so let me tackle cost to rent first. If you look at the components of cost of rent that either are naturally variable or that reflect specific action that we’ve taken that might be undone at some point in the future when business gets better. We would probably say that of the $64 million saved that we had versus last year it’s about 50-50 what’s permanent versus what might come back either through higher volume or through us making an election to add something back in the future. Maybe a little bit more skewed toward being fixed, but it’s about 50-50, let’s say. If you look at SG&A, again for this quarter, $33 million saved versus last year. Of that, it’s probably skewed a little bit more towards fixed savings as well. Let’s call it 52-48, 51-49, something like that. Again, the temporary components, things like selling costs will come back when revenue gets better and some other components may come back as well. For example, incentive compensation expense we all hope will come back, but we’ve seen saves in headcount reductions driving salary and benefit reductions. Reductions in professional fees that we don’t think we’ll come back; reductions in facility costs; reductions in T&E that we’re just managing better. Things like that don’t have to come back and I guess I’d say, one of the standards that you all should have for measuring us is, how much of it we might allow to come back. So let’s call it roughly 50-50 permanent save versus saves that might come back for both cost of rent in SG&A. Does that help?
Yvonne Varano - Jefferies: You made one other comment about not seeing any year-over-year improvement until 2011. Is that a revenue comment? Is that a rental rate comment? I just wasn’t sure what exactly…?
Michael Kneeland: That’s deals with construction in general. I think if you take a look at construction, where you’re seeing the strength and the beginning of the strength is coming in the housing market, but it came down from a very low number, but the number I’m talking about would be construction spending in dollars. It doesn’t equate to revenue.
Operator: Your next question comes from Scott Schneeberger - Oppenheimer.
Scott Schneeberger - Oppenheimer: Could you guys speak a bit to and I apologize, I hopped on a little late, so I may have missed a thing or two on some of these questions, but with regard to cost cutting, the ability to keep taking your targets down. Could you speak, is that more a product of the environment or is this you’ve had dry powder and you continue to have dry powder with regard to reductions? Then kind of a follow-up question to that is I didn’t catch anything on your number of locations, if you could update me please on that and are you going through, if you are closing locations, are you closing them permanently? Are you basically shuttering them until things improve and just taking out the human capital costs but keeping the location site?
William Plummer: I’ll tackle the location question. We closed three locations during the course of the quarter. We had another opening, so the net change was two over the quarter and we think that is consistent with the statements that we made previously that the heavy lifting in terms of the closures are done. We do see closures as an ongoing part of our business. We’ll continue to evaluate those on an as needed basis and make the decisions and inform you after we’ve done them. As it relates to the cost reductions, we feel like we do continue to have dry powder available for us to find other cost reductions. There are two things that will play out as we go forward on cost. One is sort of the full year effect if you will of what we’ve done already. As you go through 2010, we’ll see some benefit play out from that, but we also have our eyes on new initiatives that we think can take more cost out, both in SG&A and cost of rent. Mike mentioned the addition of new talent and the focus on driving transformation in our business and driving streamlining, that will play to cost and we think there are opportunities there that haven’t been accessed yet. So we’ll continue to drive at those. Same on SG&A and those will bear fruit, while we also enjoy the benefit of sort of the carryover effect of what we’ve done already.
Operator: Your next question comes from Heiko Ihle - Gabelli & Co.
Heiko Ihle - Gabelli & Co.: Just a quick question on the used equipment pricing, what are you seeing year-over-year and sequentially?
Michael Kneeland: On a year-over-year basis, it has been down. Sequentially, you see a mixed bag. On some of the earthmoving equipment and some of the aerial in specific categories or product lines, you’re seeing it up, but only up slightly on a sequential basis, but you are seeing also other areas where it’s coming down based on certain categories. So I would say as we went through the third quarter, it sequentially got better. I still think that as we go through the fourth quarter, which is historically what we’ve seen is that it comes under pressure and then as it goes after January into February, it starts the clock ticking again and we would anticipate used prices start to improve as we go through 2010.
Heiko Ihle - Gabelli & Co.: Could you quantify that a little bit just in a percentage term?
Michael Kneeland: Percentage term, we’re talking about like one point or one and a half point sequential improvement in specific categories, but overall on a year-over-year basis, I would say we’re down in excess of 10 points.
Heiko Ihle - Gabelli & Co.: Then your store count say that 580. What do you think it will be around this time next year? I know you’re moving to bigger accounts and presumably that requires less stores to maintain. What do you forecast on that?
Michael Kneeland: I think as Bill mentioned earlier, we’re going through a transformation in process improvement. I don’t think that we have come to the conclusion of exactly what that’s going to look like. It’s a journey. We’re marching towards that. As we bring in these customers and as we bring in the expertise and we drive the efficiencies that will determine what we do as the next step. One thing I will say and to add on to what Bill said about cost, is that we are committed to driving cost out of this business and improving our margins and this is the opportunity that we’re taking to do a lot of the heavy lifting as we go through this recession.
Operator: Your next question comes from Philip Volpicelli - Cantor.
Philip Volpicelli - Cantor: Can I get the original equipment cost with a couple more decimals on $3.8 billion?
William Plummer: Give me one second, Phil. Actually, I’ll have Chris Brown give it to you. Chris.
Chris Brown: It’s 38.03 at the end of the quarter.
Philip Volpicelli - Cantor: Then with the used equipment pricing firming up, is that more of a function of less supply coming into that market versus demand actually increasing for the used equipment?
Michael Kneeland: I would say it’s all of the above. I think what you’re seeing is, some companies have, as they went through the seasonal cycle, less inclined to sell something. Some companies’ strategy is just to hold onto it for the future, because of where they are and their locations, but I would say it’s both of those are playing out.
Philip Volpicelli - Cantor: Then last question with regard to the capital structure, you’ve bought back quite a few of the 6.5s. Are you where you would want to be with regard to your capital structure? Where would you target next in terms of buying back debt?
William Plummer: I think it’s fair to say that we continue to look at opportunities to strength in our capital structure and manage the maturity profile, so that we feel very comfortable. I don’t want to characterize it as we’re comfortable with the 6.5s or we’re not comfortable with the 6.5s. We’re going to look across all of our issues and make the best decision at the time for what our next step will be. So, I would just say stay tune and you will see.
Michael Kneeland: Operator, I think this is a good time to wrap up the Q-and-A. I want to thank all of you for joining us this morning on the call. As always, you are encouraged to look at our Investor Relations presentation, which has been updated for the third quarter and is posted on our website. Please feel free to download the presentation and to contact us with any questions. Thank you and have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program and you may all disconnect. Everyone have a great day.